Operator: Good morning and welcome to the UMB Financial Corporation Second Quarter 2015 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Kay Gregory. Please go ahead.
Kay Gregory: Thank you. Good morning, everyone. Thank you for joining us on our conference call and webcast regarding our second quarter 2015 financial results. Before we begin, let me remind you that today’s presentation contains forward-looking statements, all of which are subject to assumptions, risks and uncertainties. Actual results and other future events, circumstances, or aspirations may differ materially from those set forth in any forward-looking statement. Information about factors that may cause them to differ is contained in our 10-K for 2014 and subsequent 10-Qs and other SEC filings. Forward-looking statements made in today’s presentation speak only of today and we undertake no obligation to update them. By now, we hope most of you on the call or listening via webcast, have had a chance to review our earnings press release that was issued yesterday afternoon. If not, the release is available on our website at umbfinancial.com. Also, on our website, we’ve provided supporting slides that contain additional details on some of the drivers and metrics we will discuss today. A link to the slides can be found in the Investor section of umbfinancial.com under News & Events, and Presentations. These will also be available after the call for your reference. Reconciliations of non-GAAP financial measures discussed today have been included in the earnings release and on Page 34 of the supporting slides. On the call today are Mariner Kemper, Chairman and Chief Executive Officer; Brian Walker, Chief Financial Officer; Peter deSilva, President and Chief Operating Officer; and Mike Hagedorn, President and Chief Executive Officer of UMB Bank. The agenda for today’s call is as follows. Mariner will provide high-level commentary and Brian will review details on our financial results. Then Mike and Peter will review our four business segments. Following that, we’ll be happy to answer your questions. I’ll now turn the call over to Mariner Kemper.
Mariner Kemper: Thank you, Kay. Welcome, everyone, and thank you for joining us. I would like to cover two major points with you this morning. Our high-level results for the second quarter in relation to our long-term strategy and recent and near-term actions that are designed to drive future improvements in our results. The highlight of the quarter was closing on our Marquette acquisition. On May 31, throughout our presentation this morning we will mention several ways in which this combination with Marquette and UMB is already producing positive results. The supplement slide deck details the results for the quarter and we will refer to it as we share our prepared remarks. While net interest income grew nicely, noninterest income contracted due primarily to lower income from Scout funds compared to the second quarter of 2014. Expenses were held to a 3.5% increase year-over-year for the quarter, but the bottom line results was $30.2 million a $4.5 million reduction in net income for the quarter year-over-year. Even with current headwinds with a lot to be excited about including yet another quarter of strong loan growth. As you can see on Slide 7, loans increased 28.8% year-over-year to $8.9 billion at June 30, 2015. One of the significant drivers of increased loan balances with the acquisition of Marquette loan portfolio, which on May 31 had an acquired value of $980.3 million. Since, this was the first quarter with combined results I will provide a little more color on loan growth origination, which is detailed on Slide 8. At June 30, acquired loans plus loan production through the legacy market channel comprised $1 billion of the increase in total loan balances. The remaining increase of $1 billion was generated through legacy UMB lenders, for a year-over-year increase of 14.4% and a linked-quarter increase of 5.6%. Higher-yielding loans in the asset base and factoring categories coupled with UMB’s lower-cost of funds among other factors drove a 6 basis point improvement in our net interest margin, which was 2.59% for the second quarter. Also net interest income increased 13% from the second quarter of 2014 to second quarter of 2015. Later in the call, Mike will provide additional detail on our loan book. Turning to Scout, we talked recently about the headwinds we are facing and this quarter is no exception. As you will see in our press release advisory fee income from Scout Funds decreased $8.5 million from the second quarter of 2014 with second quarter of 2015. This decrease was partially offset by $3.8 million and reduced expenses in the institutional investment management segment year-over-year and the pretax profit margin remains strong at 28.8%. However, we saw continued outflows in the second quarter as 2013 performance on the international fund continue to impact flows. Overall, we are focused on improving performance, which is the best way to stem future outflows and ultimately return to net inflows. Peter will discuss this segment in greater detail later in the call, but now let me turn to our results and the continued headwinds related to our long-term strategy and future plans. Our growth strategy as a diversified financial services company remains sound. In addition to being challenged by Scout revenues we also continue to operate in a period of persistently low interest rates in a difficult regulatory environment to address the former we are focused on improved performance as I mentioned. To address the latter, we’ve executed an excellent bank acquisition and we plan to do more of these. In our other businesses such as our fast-growing healthcare services we're making prudent investments for the future growth. Equally important on the other side of the ledger we’re taking steps to address expense growth. As a starting point in June, we restructured several customer-facing lines of business primarily in the bank to more efficiently deliver our customer service strategy. Specifically, we combined consumer and private wealth into one division that we now call personal banking. And we combined institutional asset management, and institutional banking, and investor services into a single line of business called institutional banking coupled with the reorganization of our technology operations and related support groups this is a strategic step towards rightsizing our expense levels and improving the efficiency ratio. These initial and related actions are expected to provide an annualized cost savings of approximately $3.6 million. In addition to the reorganization I just described I've challenged our management team to further improve efficiencies looking at all aspects of our business. We intend to complete this process within the next 60 days and to share detail about our plans later this year. With that I’ll turn the call over to Brian Walker. Brian?
Brian Walker: Thanks, Mariner and good morning everyone. My comments will focus on our financial results for the second quarter 2015 compared to the second quarter 2014 with some color describing the linked-quarter changes as well. I'd like to start off with a financial update on the closing of the Marquette acquisitions. The market value of the shares of UMB common stock issued to the Pohlad family when the merger became effective was approximately $179.7 million based on a closing price of $51.79 per share on May 29, 2015. In the December 2014 announcement of the deal, we estimated that the transaction was priced at 1.6 times Marquette’s tangible book value using our stock price at the time of closings the price of Marquette’s tangible book value was 1.5 times subject to post-closing adjustment. Please see our earnings release and Slide 34 in the deck for further explanation and reconciliations of non-GAAP financial measures. The calculation of the credit mark on acquired loans came in at 1.25%. Additional details will be in our 10-Q when it is filed next week. Because the transaction was accounted for using the purchased method of accounting the purchase price was allocated based on the estimated fair market value of the assets and liabilities acquired. On May 31, we acquired assets with an acquired value of $1.3 billion and assume total liabilities with an acquired value of $1.2 billion. Finally, you'll see in the press release that we incurred expenses of 709,000 in this quarter related to the acquisition. Total acquisition related expenses for the fourth quarter 2014 and year-to-date 2015 are $3.4 million. As we get further into integration in the third quarter and beyond, we will discuss how these expenses are tracking against the $23 million in estimated transaction costs that we discussed in the December announcement. All in all we are pleased with the metrics surrounding the acquisition and look forward to updating you as we work towards full conversion in 2016. Now, picking up where Mariner left off on the balance sheet end of period loans increased 28.8% year-over-year with legacy UMB channels posting an increased of 14.4% compared to June 30, 2014. Compared to the industry we are once again leaders in loan growth, which as of July 23 had reported a median increase of 5.5% and in the period loan balances for the second quarter compared to a year ago according to SNL Financial. Allowance for loan losses was $77.7 million and allowance as a percentage of total loans was 0.87% compared to 1.11% a year ago. As we’ve shared in several prior quarters calls, the calculation of provision is a prescribed accounting process. There are several components that go into applying the same consistent methodology including historic losses and portfolio size along with changes in the economy, interest rate, the regulatory environment and specific to this quarter the impact of purchase accounting. We believe this level of allowance is appropriate given the high quality of our loan portfolio and history of charge-offs. Our coverage is more than two times the amount of non-performing loans, while the median industry allowance reported for the first quarter would have covered just 85% of non-performing loans according to SNL Financial. In our investment portfolio total securities [develop for sales] $6.9 billion at June 30, an increase of 3.4% from a year ago. As you can see on Slide 10, we purchased securities with an average yield of 1.9% for our available sale portfolio during the second quarter. That yield has steadily increased over the past four quarters. Based on our internal interest rate forecast, we anticipate that trend will continue, but wouldn't expect a more pronounced uptick until later in the year at the earliest. Turning to liabilities, Slide 11 shows end of period deposits for the second quarter of $14.5 billion, a $2.3 billion increase year-over-year. As a reminder, deposits with an acquired value of $944.1 million were acquired from Marquette on May 31. The cost of interest-bearing liabilities for the second quarter was 19 basis points and when including noninterest-bearing deposit the cost was 12 basis points. Turning to the income statement, net interest income before provision rose 13% year-over-year to $97.4 million. Despite competitive forces second quarter net interest margin of 2.59 was 6 basis points higher than in the second quarter 2014. On a linked quarter basis, net interest margin increased 13 basis points. In addition to the acquisition of Marquette higher yielding loans and our low cost of fund this increase was driven by a larger percentage of earning assets in loan combined with lower balances at the Federal Reserve at seasonal balances of public funds continue to run off. Noninterest income decreased $14.5 million compared to the second quarter of 2014. Slide 13 and 14 illustrates the components of the year-over-year reduction. The biggest driver of the change revenue from Scout investments decreased $8.3 million or 24.5% compared to the second quarter of 2014, primarily because assets under management at Scout decrease 7.3% over that same time. As we’ve discussed the timing of revenue decreased lag the timing of AUM reduction which in turn lags underperformance in the funds. The second quarter noninterest income for Scout reflect the impact of equity fund outflows and the resulting mix shift that occurred throughout 2014 in the first quarter of 2015. Looking at second-quarter expenses on Slide 15 total noninterest expense increased 3.5% year-over-year. Although the year-over-year increase is less than in other quarters or reiterate what Mariner said earlier. We're not pleased with our efficiency ratio and are committed to taking action to achieve improved performance.
. : With that, I will turn the call over to Mike and Peter for more detail regarding the drivers behind the segment results.
Mike Hagedorn: Thanks, Brian and I’m happy to talk with you this morning about the Bank segments financials and business drivers which can be found starting on Slide 18. As you can see the Bank's net income for the second quarter was $15.5 million and the pretax profit margin was 15.7%. The 14.2% lift and net interest income in this segment was primarily driven by loan volume including acquired balances and new loan production from legacy market channels. This volume contributed to an improved loan-to-deposit ratio which stood at 61.5% at June 30, 2015 an increased from 56.8% a year ago. Total commercial and industrial loans stood at $4.1 billion an increase of $593.3 million or 16.8% compared to June 30, 2014, included the increased for $105.7 million in loans acquired from Marquette and new loans originated by legacy Marquette businesses. Commercial real estate loans increased $658.2 million, or 38.1% to $2.4 billion compared to balances a year ago. $343.4 million of the increase was attributed to acquired new loans from legacy Marquette. Our commercial lending teams are finding opportunities in all of our markets and across several industries. We've experienced strong ag related demand as well as close several large C&I loans and we’ve been able to take a few big deals from our competition. On the CRE side most new loans we are in the multifamily housing and office complex space. Additionally we're seeing interest in CRE refinancing of business we like as those loans are fully funded right away. Total loan production across all of UMB’s lines of business during the second quarter was a new high of $573.9 million were total pay downs and total pay offs for $315.3 million. The pay down and pay off totals and line changes were $156.6 million increase an existing revolving loan balances $77.3 million in loan pay offs and $238 million in term pay downs. Our loan pipeline for third quarter especially in the C&I and CRE categories remain strong. While we can predict what will close we are very pleased with the sales activities we are seeing that resulted in this pipeline. Slide 19 in the deck shows the full composition of our loan book including balances new national specialty lending businesses. At June 30, 2015 asset-based loans stood at $211.3 million and factoring loans stood at $109.2 million. In the factoring business its important to consider not only the outstanding balances, but the volumes we are seeing, effectively turning those balances several times throughout the quarter. While these new lending business are a small percentage of our portfolio we are very excited about the prospects of offering these new products to nationwide customers. As you’ll see on Slide 20 in the deck our top market for loan growth on a percentage basis continue to be Dallas Fort Worth and Phoenix even when excluding the legacy market amounts you see footnoted. On a dollar basis, our top markets for loan production in the quarter were Kansas City, St. Louis and Phoenix. We look forward to continuing to increase market share in the Dallas Fort Worth and Phoenix Scottsdale regions with the combined efforts of the legacy UMB and Marquette lending teams. We are often asked about the percentage of our loan portfolio that are variable rate loans, which is an important component of our market risk estimations. At June 30, 2015 variable-rate loans comprised 48.3% of our total loan book. Of those 49% are tied to prime for the next quarter and 48% are tied to LIBOR for the next quarter. Overall 56% of our loan portfolio will reprice mature or amortize next quarter and 66% will reprice mature or amortize in the next 12 months. The relatively short tenor of our loan book and the large percentage of loans that are tied to indices at the short end of the curve along with our historical ability to manage the timing and amount of deposit rate increases in a rising rate environment contribute to our increasing asset sensitivity. Our market risk calculations, which will be detailed in our 10-Q and which depend significantly on a number of assumptions in the model estimates that increases interest rates of 100, 200 and 300 basis points will provide an additional $9.8 million, $18.5 million and $27.3 million in net interest income respectively. These dollar increases reflect gradual rate increases over a 12-month period. Looking at the asset management businesses within the Bank segments where we focus on institutions and high net worth individuals I'm pleased to announce assets under management reached a new high of $12.5 billion at the end of June 2015. AUM and personal banking and institutional banking stood at $8.4 billion, which includes $736.4 million in assets from Marquette asset management. Assets managed by Prairie Capital stood at $3.7 billion and brokerage AUM was $431.7 million. With that, I will turn the call over to Peter to finish up our prepared remarks with a discussion on the performance of our fee-based business segments.
Peter deSilva: Thank you, Mike and good morning. Let me begin with the institutional investment management segment, which is comprised of Scout’s investments equity and fixed income mutual funds and separately managed investment accounts. Details on this segment begin on Slide 23. For the second quarter, Scout’s net income was $5.6 million a decrease of $2.9 million compared to the second quarter of 2014. Revenue for the segment declined $8.3 million due to net outflows primarily in the international fund and the resulting shift in assets under management mix. As Mariner mentioned the revenue reduction was partially offset by an expense decrease in the segment of $3.8 million driven largely by lower processing fees due to lower AUM and equity mutual funds and a $605,000 reduction in contingent liability expense related to the Reams Asset Management earn out. Despite the revenue reduction this quarter the business maintained a pretax profit margin of 28.8%. As showed on Slide 24 assets under management stood at $30 billion on June 30, 2015, which is a decrease of 7.3% compared to assets under management a year ago. You will see a breakdown of our assets on that slide, which as of June 30 were 29% equity and 71% fixed income compared to a 45% and 55% equity fixed income mix at June 30, 2014. For the past several quarters we have reported net outflows from the Scout equity funds driven by significant underperformance from the Scout international fund particularly in 2013. As of June 30, 2015 assets and Scout equity strategies decreased $733.1 million compared to March 31, 2015 driven primarily by net equity outflows of $682.1 million. Page 25 of the supporting materials shows the various components of this change by both net flows and market impacts. Assets under management in Scout’s fixed income strategies increased to $165.4 million on a linked-quarter basis. Moving by net inflows of $262.6 million partially offset by negative market impact. Again the detailed drivers of the change in AUM are shown on Page 25. Well, we can’t predict when revenues in Scout Investments will return to and hopefully surpass recent levels. We would expect to see the following steps in that process. First, improved investment performance versus both benchmarks and peers, and second better performance should positively impact net flows and of course third as a result revenues will increase over time. It is important to note that this sequence will be impacted by the timing of inflows as average assets under management drive revenues. Overall, we remain enthusiastic about Scout despite the near-term challenges facing the business. We continue to invest in the platform and have launched six new funds in the past five years. Two of those, the emerging markets and low duration bond funds are nearing the three-year mark and as a result are expected to become more salable in the marketplace. Additionally, the newer equity opportunity fund has experienced strong absolute performance. Scout continues to be important part of our diversified long-term strategy going forward. Next, I will discuss the payment solution segment. Turn now to Slide 27, net income was $6.1 million for the second quarter and the pretax profit margin was 22%. Revenue drivers in this segment include credit and debit card purchase volume and the related interchange revenue. Slide 28, shows the components of the $2.3 billion second quarter purchase volume that generated $19.6 million in interchange revenue. 20% of that revenue is attributable to healthcare card payments. It’s important to note that healthcare interchange is a net revenue number, reflecting the various sharing arrangements between our business and third-party administrators we work with to distribute our product. Within healthcare’s $1.4 billion of purchase volume $473 million is attributable to healthcare virtual cards of single-use payment mechanism used to pay medical providers. As you can see on the next slide, this product continues to represent approximately a third of healthcare related purchase volume. Turning to Slide 30, you can see the healthcare services generate nearly $1.2 billion in total deposits and assets, which is the portion of deposit accounts swept into investment account. HSA deposits as of June 30, 2015 increased 41.8% to $1.1 billion compared to a year ago. HSA investment assets increased 58% and are now nearing the $100 million mark. The number of HAS accounts reached 621,000 were nearly 35% year-over-year growth rate. Flexible pending arrangement benefit cards $3.6 million issued compared to $3.2 million just a years ago. The final segment I’ll discuss today is our asset servicing segment, comprised of UMB fund services which ended the second quarter with $203.1 billion in total assets under administration. Net income for this segment decreased $672,000 to $3.1 million for the second quarter of 2015 compared to the same quarter in 2014 and its pretax profit margin was 16.8%. This reduction was driven largely by increase salary and benefit expense related to staffing for new funds added during the last 12 months. The fundamental drivers of the asset servicing segment remain sound. Pages 31 and 32 of the supporting materials show metric with some of our various products within UMB fund services. Running out few highlights over the past 12 months fund services added 12 net new alternative investment funds an increased assets under administration in that category by 18.3%. Additionally, 52 new funds were added to our transfer agent book-of-business. With that, I’ll conclude our prepared remarks and turn it back over to the operator who will open up the lines for your question.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Ebrahim Poonawala of Merrill Lynch. Please go ahead.
Ebrahim Poonawala: Good morning guys.
Mariner Kemper: Good morning.
Brian Walker: Good morning.
Ebrahim Poonawala: I think if we can start Mariner in terms of just getting a little more detail I know you said we get more inflow on the efficiency initiatives within the next 60 days, but when I look at sort of the second quarter expense growth outside of market also was higher than expected and I'm just trying to understand what – just to levels that expectations what should we expect in terms of the magnitude of these improvements when we look for more details 60 days from now either from the standpoint of the improvement in the efficiency ratio or if you can give some color on dollar expense numbers that could be very helpful?
Mariner Kemper: Sure, Ebrahim. Thanks for the question, what I am able to give you is mostly directional until we have a chance to revisit again in October, but let me try to give a little color here. So you know we’ve talked for some time few of those who have been following the company about our desire to operate closer to 70% efficiency ratio. That remains the case and in the past we've had the good fortune of some really strong tailwinds and performance from the things like Scout that have allowed us to take more measured approach to how we get to that 70% efficiency ratio. Given the current environment and the headwinds and such you know they have highlighted our in efficiencies and therefore waiting is not a strategy and we are committed to getting there you know more quickly than we have in the past. We will complete a process for working on and share that with the investor community in our October call. And that will conclude all that we will be doing on the expense side to get to 70. However, the time it takes to get the 70 will be somewhat dependent on the other side of the equation, which is revenue and mostly around how soon and how fast interest rates come up. So we will conclude and exercise on the expense side in October and share with you those conclusions in that plan in October, but how quickly we get down to 70 will depend on the other side of the equation and the impact of interest rates.
Ebrahim Poonawala: Understood and just look at I am clear when you update in October you’d have gone through the expense side of the equation in terms of what you want to do from an efficiency standpoint. And then it's all about revenue improvement am I understanding that correctly?
Mariner Kemper: Yes, so we will conclude and exercise and share with you what those expense reductions will be and their associated ongoing run rate for 2016 when the October conference call comes around.
Ebrahim Poonawala: Understood and separately so I guess a last question to Peter just in terms of Scout institutional? Can we touch upon in terms of what we are doing from a product strategy standpoint in terms of introducing new equity products and from a sales standpoint to that of shift this negative tied in their business.
Peter deSilva: Sure, Ebrahim. Good morning so over the last five years we've actually launched six new funds I am pleased that two of them are very close to their three year mark and I think as you know it's a little easier to sell products – even products with terrific near-term performance after they have their three-year credentials. So we are very excited about that we continue to look at new products that we can launched, where we have a reason to believe we can outperform passive strategies and but we can do output to our shareholders. So we continue to look for new ways to offer products we continue to look at lifting out teams. So we can add more bench strength if you will to our product lineup, but as you know the business very well it is basically a performance business and it does have been flow a little bit as performance tends to – as it tends to move around a little bit.
Ebrahim Poonawala: Understood thanks for taking my questions.
Mariner Kemper: Thank you.
Operator: The next question comes from Chris McGratty of KBW. Please go ahead.
Christopher McGratty: Hey, good morning everybody.
Mariner Kemper: Good morning.
Brian Walker: Good morning, Chris.
Christopher McGratty: Brian maybe to start with you, your security focus is pretty short in the yield about 1.5%. Can you talk about the ability to likes and duration and improve the yields over time? And also in the context that I believe what’s a pretty large proportion of the other public [indiscernible]. Thank you.
Brian Walker: I am going to ask you to repeat specifically your question I got a little lost in there, the 1.5% related to what…
Christopher McGratty: Yes, sure no problem. The security yields are about 1.5% and my question is as higher rates approach how do you view extending duration and approving the yield with the context of a securities focus, you know fairly pledged?
Brian Walker: Yes, and maybe just as a reminder we continue to evaluate the earning asset mix as a whole and so our strategy is to roll within our loan portfolio, while maintaining the investment portfolio we are seeing that rate start to trough and look for that trajectory to improve here in the latter part of the year with even the minimal low end of the curve rate improvements from the Fed. From a duration perspective yes as we’ve move up that rate profile or that curve profile we’ll look to take advantage of improvements in rates.
Brian Walker: On the margin.
Mariner Kemper: On the margin, yes don’t expect us to – length and duration in any material way right now.
Christopher McGratty: Okay, thank you. Maybe one for Peter. There has been a lot of M&A activity in healthcare space recently I’m interested kind of in your high level thoughts potentially as an opportunity and as a rest of the business with lot of consolidation with the HSA businesses?
Peter deSilva: Sure. So [indiscernible] definitely seeing a lot of the big guys trying to get together and build scale in the industry for sure. Keep in mind that our strategy is a multi-channel strategy and we are not over reliant on any single channel for the business that comes into our healthcare vertical. We do have a wholesale distribution approach through third-party administrators, certainly through health plans although that is not the only way we distribute, we go through technology companies, direct to employers, direct to consumers through a 401(k) platforms et cetera. So it's a multi-channel strategy for us in terms of how we go to market, we’re very closely paying attention to the consolidation going on in the healthcare industry, but don't see it as a major detriment to our growth profile because in fact we have this multi-channel approach.
Christopher McGratty: All right. Thank you.
Operator: The next question comes from Matt Olney of Stephens Inc. Please go ahead.
Matthew Olney: Hey, thanks. Good morning guys.
Brian Walker: Good morning.
Mariner Kemper: Good morning, Matt.
Matthew Olney: Hey, first off congrats on getting the Marquette deal closed into the numbers partially into 2Q. I'm trying to understand the core trends better into 2Q X-Marquette it’s kind of legacy UMBF. So either even more details you can give us as far as the core expenses net income and margin from the legacy UMBF in 2Q, X-Marquette?
Mariner Kemper: I think the best way to think about that is we have given you the overall numbers across the board and you only have one month impact of Marquette in there. So you are largely seeing the legacy improvements in their to margin and loan growth.
Mike Hagedorn: Yes, Matt this is Mike. So as a reminder when we announced the deal we provided details around the expected integration cost and those were around $23 million. We have $3 million of that through the pipeline we have $20 million yet to go. And so you are going to see that in our noninterest expense and we’ll give you visibility to that in the coming quarters. As Mariner saidthough one of the important things about this deal was our ability to leverage our much lower cost of funds and you’re starting to see that in the expansion in net interest margin on the holding companies balance sheet and income statement. And the thing it’s important about that as you mentioned is we only have one-month of the second quarter and the numbers and you’ve already seen an uptick in both the earning asset yields and margin due to Marquette.
Mariner Kemper: We’re modeling, we are coming in very close to model on expenses and integration.
Brian Walker: So far it’s gone very well, we feel very good about where we’re at this point both the impact on our financial statements and just generally how the integrations is gone.
Mariner Kemper: Loan quality looks better than we expected it through to due diligence. Everything looks really fantastic. Teams are working very well together, seeing loan growth, it’s great, but very pleased.
Matthew Olney: So that’s helpful. And then as far as the outlook for organic loan growth I'm curious if the Marquette deal changes your overall outlook for loan growth from here.
Mariner Kemper: So in the past I’ve given you a look into the next 90 days around the pipeline. I would say that our pipeline for the third quarter looks as good to slightly better than it did going down – going into the second quarter and about 10% of our expected pipeline is coming from Marquette, legacy Marquette sales energy.
Matthew Olney: Okay. Thanks, Mariner, it was great color. And then as far as the goal for the efficiency ratio would it get down to 17% did I hear you correctly that you would expect interest rates would need to help you out in order to get there?
Mariner Kemper: Can you ask that again?
Matthew Olney: Did the 70% efficiency ratio goal assume higher interest rates?
Mariner Kemper: Well, so maybe I’ll rephrase that. So we expect ourselves to get to 70% and what I’m saying is we’ll include our efforts on the expense side and share those with you in October getting the 70% only come through expense reductions, we need revenue improvement also and so what I’m saying is how quickly we get to 70% isn't just depended on all the expense improvements that we make it will require – the rate which we get there will require some sort of analysis around how long it takes interest rates to come up, is that helps.
Matthew Olney: Yes, that’s helpful. And then lastly from me as far as M&A now that Marquette’s close, what are your thoughts on M&A from here and strategically what types of franchise are you thinking about at this point?
Mariner Kemper: Yes, so we love all the deals you know, we love all four of our businesses and we shared with you before sort of the margin and momentum. So you have a good sense for the margin, profit margin in all of our businesses and we are always sort of stack rank or our M&A activities around where the momentum is coming from or where gross profit margins are so I continues to be the case. We clearly are good at finding quality banks and integrating them and we would like to continue to find those. They are more quickly accretive and have a lower risk profile as supposed, but we are continuing to really look across all four business lines for quality opportunities that we’ve said in the past that meet culturable, financial and strategic thresholds of course being cultural being at the top of the list got to fit into our very unique organization.
Matthew Olney: Thank you.
Operator: The next question comes from John Rodis of FIG Partners. Please go ahead.
John Rodis: Good morning guys.
Mariner Kemper: Hey John.
Brian Walker: Hey John.
John Rodis: I guess maybe just let me ask another question on the Marquette I guess operating expense as you guys put in the press release that $3.4 billion in the quarter was from salary and benefits expense related to Marquette. Was there any other expenses in operating expenses related to Marquette for the quarter?
Mariner Kemper: Yes, you have things like brick-and-mortar related costs anything that you have an ongoing costs outside folks like you may use legal departments et cetera that are not related specifically to the acquisition yes, certainly it’s more than just salary and benefits.
Mariner Kemper: Outsource technology providers we do business with et cetera.
John Rodis: Okay, so just to be clear the $3.4 million was just salary and benefits that wasn't total operating expenses for them for the quarter?
Mariner Kemper: Correct.
Brian Walker: Correct.
John Rodis: Correct, okay. Maybe Brian just to make sure I heard you correctly to you said the full-year effective tax rate should be around 27.1% is that correct?
Brian Walker: That’s correct.
John Rodis: Okay, question on asset quality guys and again asset quality for you guys is always been strong, but and NPAs were up during the quarter was that related to Marquette or was it something else?
Mariner Kemper: Certainly Marquette has an impact, but no it’s just typical regular stuff in/and out from one quarter to next will have an uptick here or there. What I think you should take ways with no trend of lower quality in our loans.
John Rodis: No I mean NPAs is obviously are still very low relative to peers, but just wanted to make sure, okay. Can you guys talk a little bit about or can you give us an update on your energy exposure, the portfolio there at the end of the quarter?
Mariner Kemper: Relatively unchanged yes from where it was last quarter very nominal.
Brian Walker: Yes, so as a reminder as it relates specifically to Marquette their total exposure all in their Texas bank was somewhere around 4% and the legacy of their total book of our total legacy UMB book that number was slightly below 3% so not material.
John Rodis: Any trends in that portfolio during the quarters or is it performing as expected so forth?
Mariner Kemper: Yes, I mean we were a high-quality lender and they're all solid companies, we are not out drilling dry holes, it’s a seasoned company’s with big balance sheets.
John Rodis: Okay. And maybe just final question for you Mike. Did you say I think assets are the assets under management of the bank I think you said roughly $700 million of the increase was related to Marquette, is that correct?
Mike Hagedorn: That’s correct.
John Rodis: Okay.
Mike Hagedorn: Yes, that entity is based in Minneapolis is called Marquette Asset Management.
John Rodis: Okay, and will you consolidate that into yours or I guess on the conversion or…
Mike Hagedorn: Not currently right now, we’re evaluating the best way to go to market, but now right now that operates as a separate entity.
John Rodis: Okay. Thanks, guys.
Operator: [Operator Instructions] The next question comes from Peyton Green of Piper Jaffray. Please go ahead.
Peyton Green: Yes, good morning. I was wondering maybe if you could comment a little bit on deposit growth. I think normally or at least historically 2Q has been a relatively weak quarter for deposits and it’s particularly strong even after backing out the Marquette acquisition. Maybe if you could speak to a little bit about the outlook for solid deposit growth?
Mariner Kemper: I mean I think we haven’t – given the strength of it and Peyton [indiscernible] given the strength of our deposit franchise and what we’re trying to do to optimize the balance sheet and we don't really, we can turn on all sorts of levers over time to increase deposit growth, but right now we’re not contemplating the need to have a higher rate of deposit growth.
Peyton Green: Okay.
Brian Walker: Yes, and maybe just some more color to add to that. Remember the healthcare related deposits now exceed a $1 billion and so if you are looking at Q2 to Q2 you have to factor that in that’s a significant mover in the total.
Mariner Kemper: So I think you are saying our deposit growth is lower without Marquette and is now into your…
Peyton Green: No, I think I mean the deposit growth is backing up Marquette was actually little stronger than the normal 1Q to 2Q seasonality would suggest.
Mariner Kemper: I thought you were saying you expected it be faster and I was explaining why we weren’t pursuing a faster growth rate. Sorry so I didn’t…
Peyton Green: No, I thought it was pretty good I mean…
Mariner Kemper: Yes, we’re saying the same thing. I’m happy with our deposit growth rate. I thought I heard you say you expected it to be better.
Peyton Green: No, not at all, quite contrary. Maybe secondly in terms of the expense initiative I mean you mentioned that’s you hope to get $3.6 million out of expenses from the initiatives already announced, but I mean to what degree are you comfortable with expense growth continuing to exceed revenue growth?
Brian Walker: So I think those reading that are not the intended way so the $3.6 million is from initiatives we’ve already taken so you have not seen the results from the efforts that I’m discussing that we are doing over the next 60 days.
Peyton Green: Okay, and so would that be fully faced in? So will the $3.6 million be fully faced in by the third quarter or later?
Mariner Kemper: Yes.
Brian Walker: The run rate will change for the full quarter, yes.
Mariner Kemper: Think if it has a rolling 12 full-year run rate.
Peyton Green: Okay, and then…
Brian Walker: That was just kind of a first step and an initial step just to sort of set the stage for the actual planning process.
Peyton Green: Okay, and I may have misunderstood this, but you referenced $3.4 million in personal expenses that were included in your personal expenses from Marquette and then with regard to the integration expenses of $23 million when would you expect those to fall out and remind us kind of the expense cross sales you would expect from Marquette and the realization timeframe of that?
Mariner Kemper: Yes, so as a reminder the integration related costs and I think we’ve made it public that the integrated or the integration timeline is expected to occur in the first quarter probably in the middle of February for next year. By the time we get there assuming that all of our costs through the income statement that would be $23 million. That’s what we estimated the time we announced the deal and that still looks like the right target for us. And the related expense savings, we expect to be around $13 million.
Brian Walker: So I’d say earlier we’re on target for the model and shared with you kind of upfront so we are on target with that modeling.
Peyton Green: Okay and that would be fully faced in by the second quarter or third quarter?
Mike Hagedorn: Well, it may dribble that it will - some of its going to dribbles of some past that – but it’s over the next between now and – between this year and next year.
Mariner Kemper: That’s right. Yes.
Brian Walker: So as we talked about during the – our initial discussion about the deal last year its phased in over two years to total closer to $14 million for ongoing cost saves.
Peyton Green: Okay.
Brian Walker: And one thing I'll add just to make sure that we’re clear and maybe you understand that. But the expense initiative around efficiencies has nothing to do with Marquette, the cost associated with acquisition are completely separate.
Mariner Kemper: Absolutely that’s a good distinction.
Peyton Green: Okay great. And then maybe Peter can you talk about Scouts at least on the mutual fund side and maybe, but separate account side how is the traction so for through July?
Peter deSilva: Well you know interestingly the second quarter of this past year of 2015 was the lowest net outflows we’d experienced since Q1 of 2014. So in fact and this is on the equity side, so in fact we did see a deceleration in outflows in Q2 versus the prior four or five quarters so that's a good news. Outlook our sales guys are out telling the Scout story everyday. We are in all of our channels ensuring that our clients understand that the performance particularly in mid-cap and others to stabilize considerably and we are still getting a lot of works we’re still getting a lot of opportunities on the equity side, but net-net performance needs to stabilize and improve in order to really turn the tide there. On the separate account side that’s primarily fixed income and that pipeline has been good and continues to be good. As you saw we had negative I am sorry we had positive inflows of $262 million in fixed income in the second quarter and that momentum continues to be strong.
Peyton Green: Okay great and maybe this is housekeeping question, but in the terms of Prairie I guess splits over in terms of their five year anniversary in the third quarter? Is there anything we should be mindful of in terms of expense movement from one category to another?
Mariner Kemper: No not necessarily well let me think of your question we do go through the process of doing the fair value adjustments as you know and we discussed for five years. As we enter the future those expenses will start to show up in the normal course of compensation for the performance on those funds.
Peyton Green: Okay. So you see go from other geographies to personal?
Mariner Kemper: We are shifting from it in/or out obviously to compensation program to intent the principles to continue performing.
Peyton Green: Great, thank you for taking my questions. End of Q&A
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Kay Gregory for any closing remarks.
Kay Gregory: Thank you for your interest in UMB today. This call can be accessed via replay on our website beginning in about two hours and it will run through August 12. As always you can contact UMB Investor Relations with any follow-up questions by calling 816-860-7106. Again, we appreciate your interest and time. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.